Operator: Good day everyone. Welcome to the CACI International Fourth Quarter Earnings Conference Call. At this time, all lines are in a listen-only mode. Later we will announce the opportunity for questions and instructions will be given at that time. [Operator Instructions]. At this time, I would like to turn the call over to Mr. Dave Dragics. Please go ahead sir.
David Dragics - Senior Vice President, Investor Relations: Thank you Melissa and good morning ladies and gentlemen. I am Dave Dragics, Senior Vice President of Investor Relations of CACI International. And we are pleased that you are able to participate with us today. Now as is our practice on these calls we are providing presentation slides and during our presentation we'll make every effort to keep all of you on the same page that we are. So moving to the next exhibit number 2. Before we begin our discussion this morning, I would like to make our customary but important statement regarding CACI's written and oral disclosures and commentary. There will be statements in this call that do not address historical facts and as such constitute forward-looking statements under current laws. These statements reflect our views as of today and are subject to important factors that could cause our actual results to differ materially from what we say today. Now the primary factors that could cause our actual results to differ materially from those we anticipate are listed at the bottom of last evening's earnings release and are described in the Company's Securities and Exchange Commission filings. Now the Safe Harbor statement is included on this exhibit and really should be incorporated as part of any transcript of this call. Moving to the next exhibit to open up our discussion this morning, here is Paul Cofoni, President and CEO of CACI international. Paul.
Paul M. Cofoni - Chief Executive Officer and President: Thank you Dave and good morning ladies and gentlemen. I'd like to welcome those of you who are new to CACI in our call this morning. We appreciate your interest and invite you to join us on future calls. With me today to discuss our results and answer your questions are Tom Mutryn, our Chief Financial Officer; Bill Fairl, President of our U.S. Operations; Randy Fuerst, our Chief Operating Officer of U.S. Operations; and by phone from the United Kingdom, Greg Bradford, Chief Executive of CACI Limited UK. Our new team is firmly in place and energized to implement our strategy. We are determined to make CACI the very best in everything we do, from building strong client relationships to developing valuable solutions that support our national priorities. We are committed to being the best employer in our industry, offering challenging and exciting careers where talented people can grow and thrive. And we are dedicated to enhancing shareholder value. Let's go to the next slide, please. Our growth strategy is centered on the highest national priorities and serving federal government clients or combating terrorism here on the homeland in Southwest Asia, Europe, Africa and around the world. We are focused on the highest priorities of the US government including national security, intelligence, homeland security and the modernization of government services. These will see continued high priority funding. We are confident we can make a real difference in meeting our nation's challenge. We are building a world class management team to lead us to the next stage of CACI's growth. Our most recent addition to the team was just announced. Retired Vice Admiral Albert Calland has joined CACI as Executive Vice President for Security and Intelligence Integration. Admiral Calland is a highly accomplished intelligence expert and special operations leader. He was Deputy Director of the National Counter Terrorism Center and Deputy Director of the Central Intelligence Agency. He served as Commander of Special Operations for US Central Command and led more than 3,000 special operation forces in Operation Enduring Freedom in Afghanistan. Admiral Calland adds new insight to our executive leadership team. He is an authority on integrating information at the Nexus of Intelligence, Defense, and Law Enforcement to create reliable actionable data that will help our nation when the global fight on terrorism. With CACI, he will be a leader in building our Intelligence Home Land Security and Law Enforcement business areas. We believe intelligence capabilities are essential to America's first line of defense. In support of this we offer our Federal Government clients and exceptional team of intelligence professionals with outstanding credentials and extensive experience in both strategic and military intelligence. We bring proving solutions to help client integrate tactical and strategic intelligence to combat asymmetric warfare. Next slide please. Let's turn now to the highlights from CACI's fourth quarter fiscal 2007. We delivered record quarterly revenue topping $500 million for the first time in CACI's history. Contract awards in the fourth quarter were a record amount of more than $1 billion. We won all of our major re-competes as well as new work that expanded our business with Federal Civilian Agency. We are especially pleased to win our re-compete contracts within Department of Justice on its $950 million ceiling Mega 3 program and with the U.S. Navy on its $48 million Readiness-Based Sparing program. CACI has helped both these contracts continuously since 1978. We take great pride in our ability to sustain the long-term relationships in which we keep adding value to our client solutions. We also undertook a major financial transaction and raising $300 million in convertible debt. This gives us additional financial flexibility to pursue corporate development in mergers and acquisition initiatives. We also bought back 1 million shares. Another highlight of the fourth quarter was that we completed the acquisition of two professional services and consulting companies; first, the Institute for Quality Management, IQM; and the Wexford International Group. CACI's corporate development and M&A program is a successful and ongoing process that has clearly demonstrated its value to growing the company. Both IQM and Wexford are high growth organizations operating within our target markets and they have outstanding capabilities to compliment our own professional services and consulting services. They bring us experts in the areas of intelligence and special operations respectively, where we are focused on expansion. Let's go to slide numbers 6, please. Turning now to the full year fiscal '07, CACI reported record revenue and contract awards. These contract awards are a strong indicator of our potential for long-term growth. CACI also reported record contract funding. These contract funding orders are a favorable indicator of our near-term growth potential. We enter fiscal '08 with record year-end funded backlog and total backlog which will lead to improvement in our organic growth. Bill Fairl will have more details on our fourth quarter and fiscal '07 full-year operations results. While our fundamentals are sound, as we move into fiscal '08, we continue to operate in an extremely challenging funding environment. Congress returns after Labor Day with much appropriations work remaining. The process continues to be a contentious one and looking ahead we believe that a continuing resolution will be needed to keep the government running when the new fiscal year starts in October. Let me also point out that even though CACI is operating within an environment where government dollars are being prioritized to the warfighter, we do have contracts that support the warfighter. These efforts include contracts to provide intelligence, communications, night vision systems and engineering solutions that counter the threat of IEDs. CACI supports both the warfighter on the ground and the command decision makers at the national level who are directly engaged in the global war on terrorism. We are expanding our business base in the federal civilian sector with significant contract awards with the Department of Homeland Security, Justice, State and Housing and Urban development. CACI was also most recently awarded a prime position on the General Services Administration's Alliant program. We will continue to pursue large contracts to help our clients solve their most difficult problems. CACI's vision is to be the very best in everything we do. We will reach back into CACI's full resources and the capabilities of our 10,000 plus employees to sustain and enhance our position as a federal services leader. And now here's Tom Mutryn to give us the detail of our financial picture and Tom will be followed by Bill Fairl who will provide more details on our operational performance. Tom?
Thomas A. Mutryn - Executive Vice President, Chief Financial Officer and Corporate Treasurer: Thank you Paul and good morning everyone. Please turn to slide number 7. Our overall year-over-year revenue growth for the fourth quarter was 9% and our organic growth rate was 7.2%. The organic growth was driven by a significant increase in other direct costs which accounted for 59% of the total direct costs up from 56% in the fourth quarter of 2006. This increase in other direct costs is a major factor in our lower margins since this activity typically has much lower margins than direct labor. For the full-year our revenue increased $183 million or 10.4% compared to 2006, driven primarily by acquisitional activity. Full-year organic growth was 1.2%. Let's go to the next slide. Our operating margin was 7.3% in the forth quarter and was 7.5% for the full year. In previous calls we highlighted 3 factors which are impacting our margin. The first factor is a shift in our direct costs from direct labor to other direct costs, attributable in part to the movement to larger consolidating contracts which have significant subcontractor content. These larger contracts allow us to meet the needs of our customers as they provide for the top-line and bottom-line growth but often with slower margins. To partially offset this, our intent is to increase direct labor by continued hiring and by bidding work with greater CACI labor content. The second factor relates to re-competes. We lost two major higher margin re-competes in 2007 and we often realized lower margins on the re-competes we did due to the competitive environment. The third factor relates to less higher margin Greenfield work as government funds are redirected to the warfighters and sustainment activities. We support and continue to grow this mission critical work through acquisitions in organic growth, and we are also well positioned to win new Greenfield work as funds become available. Our net income for the fourth quarter was $20.8 million and $78.5 million for the full year. Diluted earnings per share for the quarter was $0.67 and were $2.51 for the full year. Next slide number 9, please. Our UK subsidiary reported quarterly revenue of $22 million, a 29% increase over the last year's fourth quarter. For the full year UK revenue was $81 million, up 28% with a pretax margin of 8.1%. This top-line growth resulted primarily from the acquisition of Sophron of last year and favorable exchange rates. In July of this year our UK operation acquired Arete Software Limited, a $4.4 million proprietary software business focused primarily on local government. This is the UK's third acquisition in the past 21 months. We had another quarter of cash flows generating $47 million of operating cash driven by earnings in an impressive 8-day improvement in DSO to 66 days. For the full year our cash from operations was $168 million. Our cash position was $285.7 million at the end of the year which included $49 million of cash which was subsequently used for the Wexford acquisition. Next slide number 10 please. We are reaffirming our guidance for fiscal year '08. While our fourth quarter revenue came in higher than expectations due to approximately $35 million of higher other direct costs, earnings were generally consistent with our expectation. At this point, we do not have enough new information to adjust 2008 guidance. We expect revenue will be between $2.05 billion and $2.15 billion and our operating margin will be between 7% and 7.4%. Quarterly operating margin is expected to range between 6% and 8% during the year. The first half of the fiscal year will be in the lower half of the range with the second half of the year in the upper half. The major reason for the increasing margin as we move through the year is the steady growth in the number of billable CACI employees driving margin and profit improvement. We expect negative earnings per share comparisons in the first half of fiscal year '08 and positive comparison in the second half. We realized significant improvements in working capital in fiscal year '07 and in particularly the fourth quarter mainly due to lower DSO. We do not expect similar DSO benefits in 2008. With further review of our expected fiscal year '08 earnings, non-cash expenses and working capital items, we currently expect 2008 cash flow from operations to be in the $140 million range. Going forward we plan to use our cash primarily for acquisition. We have a solid pipeline of opportunities, consisting mainly of companies doing work to support the Department of Defense and the intelligence community in similar in size to recent acquisition. With that, I will now turn over the discussion to Bill Fairl. Bill?
William M. Fairl - President, U.S. Operations: Thanks Tom and good morning everyone. I will address my remarks to highlights from operations during both our fourth quarter as well as our full fiscal year '07, and I'll also provide a few comments on our fiscal year '08 focus points going forward. Let's move to slide number 11. As Paul mentioned Q4 was a very good quarter for contract awards. We recorded approximately $1 billion in awards, up 215%, that's 215% over fiscal year '06. We also won all our major re-competes as well as significant new business in both the Defense and Federal Civilian sectors. For the full year our contract awards totaled a record $3.3 billion and as Paul indicated this included expanded business with federal civilian agencies. Fiscal year '07 contracts we won in this area include the multi-billion dollar Eagle contract with the Department of Homeland Security, the Mega 3 litigation support re-compete with the Department of Justice, a blanket purchase agreement from the Department of State to enhance informational security, and a $74 million award from the Department of Housing and Urban Development. Fiscal year '07 was also a record year for contract funding orders; $2.16 billion, a 23% increase over fiscal year '06. The strong foundation of awards and funding in fiscal year '07 give us great momentum heading into fiscal year '08. Our proposal activity continues at a vigorous pace. At the end of the fourth quarter we had over $3.1 billion dollars and submitted proposals under evaluation, and that's both new and re-compete; we expect over 50% of those to be awarded by the end of the calendar year. During the first half of fiscal year '08 we expect to submit more than $4 billion in additional proposals also both new and re-compete and we expect 50% of those will be for $100 million or more. Also in fiscal year '07 we expanded the technical distinctions that enable us to compete and win at the tier-1 level. Four of our operating units earned the Capability Maturity Model Integration or CMMI level-3 rating. The level-3 rating is an increasing requirement on large complex federal contracts. So our accomplishment here keeps us very competitive. Additionally we were one of the first systems integrators in the federal market space to receive the ISO-20000 certification. ISO-20000 is a recognized standard for enhanced efficiency and cost effectiveness in IT service management and the Federal government is beginning to embrace ISO-20000 as a key to achieving true performance based contracts. This certification gives us a significant discriminator in the federal services and solutions marketplace. Next slide please. Our objective for fiscal year '08 is to translate our record contract awards and funding orders into top and bottom-line growth. To do that we are going to focus on four key areas. First, organic growth; we believe that we will see improvement in organic growth over the course of fiscal year '08 as our record fiscal year '07 contract awards and fundings convert to revenue and profit. We expect the success in momentum we built in our re-compete win rate during the back half of fiscal year '07 will prevail throughout fiscal year '08 and all the while given the strength of our opportunity pipeline, our team will continue to bid and win new contracts and task orders. The second focus area is profit improvement. Our objective is to concentrate our bid and proposal resources on winning new work that have the higher CACI labor content while maintaining the high re-compete success rate I mentioned earlier. We are going to accomplish this while maintaining our practice of bidding large multiple award IDIQ contracts such as S3, ITES-2S and the Department of State Security Assurance Services and Innovations, BPA. And they may entail a significant amount of ODCs. Our third focus area is recruiting and retention. In support of our profit improvement objective and with the new work we see for fiscal year '08, a challenge of recruiting and retaining qualified individuals especially those with high level security clearances isn't going to lessen. While we have more work to do, I can tell you that we've made good progress at our hiring metrics. During fiscal year '07, our Human Resources Organization built what I call a best-in-class team of recruiters. Our recruiters then teamed with up our Line Managers to deliver great hiring results week-in and week-out while reducing our time to fill to historic lows as we enter fiscal year '08. On the retention side, our team continues to focus on making CACI an employer of choice by investing our people including new leadership training programs for our managers and by winning exciting new work that helps us both recruit and retain top notch staff. The fourth and final major focus area for fiscal year '08 is integrating acquired businesses. I am pleased to report that the integration of our recent acquisitions, The Institute for Quality Management and the Wexford group, has gone very smoothly. These two fine organizations are fully onboard contributing to our fiscal year '08 objectives. Given CACI's leadership position as the strategic consolidator in our market, we are prepared to integrate additional businesses as the opportunities present themselves. In summary, our fiscal '07 achievement in operational excellence coupled with our record contract awards and record contract funding orders give us a solid foundation to deliver a year of accelerating growth for out U.S. operations fiscal year '08 and Paul that concludes my remarks.
Paul M. Cofoni - Chief Executive Officer and President: Thanks Bill and thank you Tom for your comments. Let's go to slide number 13 please. CACI is well positioned for long term growth. We provide valuable services in the highest priority areas of government, including national security, intelligence, homeland security and modernization of government services. These will continue to see priority funding. In addition to our vital defense business, our portfolio is expanding in the civil sector of the federal government. Our management team brings strategic leadership and significant large enterprise experience from both industry and government. Our corporate development and M&A program is a successful ongoing proceed that has clearly demonstrated its value to CACI. We are the market leader in acquiring and integrating new companies to increase our capabilities and accelerate our growth. Our growth strategy continues to be sustaining our re-compete success to improve organic growth; we are increasing our operational efficiency and holding down costs to improve earnings. We are also pursuing larger contracts with higher labor content. In particular we are going after contracts with values of more than $100 million that are in our niche areas and have more direct billable labor. Our solutions are critical to our customers' missions and are at the forefront of our nation's security. Our important business with the Federal Government attracts talented professionals who seek challenging work and who are dedicated to the missions of our valuable clients. We will continue to invest in recruiting the best talent, including veterans and people with disabilities. CACI people are fiercely proud of the work they do. And our management team intends to retain our top talent to grow our business. Looking ahead we are confident that we will be able to build on our recent accomplishments and enhance shareholder value during fiscal '08. I'm very proud of all our dedicated employees and the fine work they do in helping our clients solve our country's most complex problems. We believe our solutions provide the critical resources to help our government to defeat global terrorism, secure our homeland, and improve government services. It is an honor and a privilege to lead our team and to serve our clients on America's national missions. With that Melissa we can open up the lines for questions. Question And Answer
Operator: Thank you. The question and answer session will be conducted electronically. [Operators Instructions]. And we will go first to Ed Caso with Wachovia.
Edward Caso - Wachovia Securities: Good morning, thank you. I was wondering if you could flesh out the employee retention turnover hiring a little bit more; maybe if you had some number metrics you can give us?
Paul M. Cofoni - Chief Executive Officer and President: Well I will turn that over to Bill, but we generally do not give out specific metrics on retention. But I think Bill can give you some color on the initiatives we have underway and the effect that those initiatives we are having.
William M. Fairl - President, U.S. Operations: Yes, it is Bill Fairl. It was a little hard to hear it but I think you are asking about recruiting and retention statistics. So I will just tell you what I can. On the retention side, we have made progress there. It continues to be a focus area for us and I mentioned some of the initiatives we have going on there. We seek to continuously approve. I think we have said in the past that we believe that we are below the industry average, not as far below as we would like to be but below the industry... our industry average for... on the retention statistics, so that continues to be a focus area for myself and Randy Fuerst. On the recruiting side I mentioned that we have gotten our time to fill statistics. That's a time it takes us to place somebody in a new firm open position down to historic lows for the company. So I am quite pleased there. I think our objective there is going to be stay where we are. And if we can approve it by another day or two that's great, but the team just did great in fiscal year '07. The number of firm openings that we have has gone up. So I am very pleased by that. It seems that the faster we fill these positions, the faster our clients open new positions for us. So I think we got a nice kind of process going there. And I may have mentioned this before, I will mention it again, during fiscal year '07 our human resources organization, we appointed a new head of our recruiting staff, our corporate recruiters and he spent the year building just the A team of recruiters and they are working just great with our Line Managers and I... to that I attribute the success in reducing the time to fill and the corollary also giving us more positions to fill. So, so far so good, got to keep working it.
Edward Caso - Wachovia Securities: A quick question for Tom. On the convert, there was some emerging issue task force, I think, 7-2 that may cause an issue. Can you give us an update here?
William M. Fairl - President, U.S. Operations: Yes. There has been some discussions with the emerging issue task force and as well as the Financial Accounting Standards Board about changing the accounting rules for... into convertible debt securities, we are in some of those ongoing discussions when we issued the convert, the change in accounting would not have any impact on the underlying economics of the converts which we continue to be quite pleased with. However, there may be a change in accounting, a draft proposal is being offered with a relatively short comment period and if this change goes into effect, we may see some of the results in our fiscal year '09. Too early to know specifically what the impact will be.
Operator: We'll go next to Brian Gesuale with Raymond James.
Brian Gesuale - Raymond James: Yeah, good morning guys.
Paul M. Cofoni - Chief Executive Officer and President: Good morning.
Brian Gesuale - Raymond James: Paul I wanted to ask you kind of a philosophical and strategic question here. As you go forward-looking to balance organic growth and margin stability or even potentially expansion, what organic growth rate is sustainable? And then on the margin front, what gives you the confidence that you can materially add direct labor content to your mix, given heavier reliance on these larger IDIQ contracts, some of these lower profit renewable contracts that you have been successful with and then the ongoing tight labor markets? Can you maybe address those issues?
Paul M. Cofoni - Chief Executive Officer and President: Yeah, it may have been 4, 5 questions in there. That was a clever way of multiple questions in there. Brain thanks for the question. Let me start off since you introduced it as a broad question with a broad answering, and I might ask Bill and Randy to add something in here. But first of all, we are emerging. Some have labeled us as a tier-1.5 not quite at the tier-1 inch scale but certainly there is quite a bit of space between ourselves and... or let's say other midsized companies in our market space. So, we are emerging and evolving towards tier-1 in scale and as we do that my experience in that area is that we will be taking on larger, more complex problems in the government sphere in order to support the organic growth that we need. So we will be going after contracts that are large and complex. Now when we do that our clients will generally want us to have a very broad reach back more than we could have in any... any one would have in any given company and therefore we'll have more team mates to help us solve these complex problems going forward. As we have more team mates obviously our percentage of direct labor on those jobs is going to be lower than our average. That will have the effect of creating a tendency toward a lower margin. Now why would do that? Because we can add revenue... large volumes of revenue in earnings that will give us greater earnings per share and that is the trade-off. To get the larger earnings per share we may have to... we will have a margin that's more consistent with a tier-1 organization. So we are not going to be able to support the organic growth we would like to have with pure time and materials level of effort type of work. We love that work, we'll do as much as we can, it won't be sufficient over the long term as we move toward our five year goal of becoming a $5 billion company. It won't be sufficient to support their organic growth rate. And now I turn it to Bill and to Randy for any other comment.
William M. Fairl - President, U.S. Operations: Sure, Bryan it's Bill Fairl, I would add to Paul's... I will add to Paul's remarks by saying that since we are a larger company these days, we do have a lot of capability. Paul talked about reach back... we have that reach back capability inside the company as well. So, over the past year, year and a half, we have launched two separate initiatives, one called account planning account management and the other one called horizontals and I won't go on to tremendous details other than to say the purpose of those two initiatives is to better enable CACI to cross-sell its capabilities across the entire organization. So... whereas in the past when we were a smaller company, we may have had to go more... outside for capabilities. One of our objectives here is to maximize the use of CACI's internal capabilities and therefore sell more CACI labor. So, ODCs... significant numbers of ODCs is a fact of life, we are trying through these initiatives, account management, horizontals to increase CACI labor content and we have begun to see some traction there, we think that can work for us. But as Paul indicated we are concentrating on growing our profits here.
Paul M. Cofoni - Chief Executive Officer and President: Randy do you want to add anything or --?
Randall C. Fuerst - Chief Operating Officer, U.S. Operations: Yeah, the only thing I would say Brian is that as Paul indicated in that tier-1.5 journey we are on; we are really focusing on those types of deals and there's lots of deals out there to go after where we can really provide strong CACI solutioning. And that's why the areas that both Bill and Paul have charged me with to make sure that we are bringing the best of CACI across our $2 billion enterprise to our clients. And the... I'd just wrap it up because there was one part of your question Brian that dealt with, do we see the people, the openings being there and our plan calls for a significant incremental employment or... of new talent and hiring up new talent and that is all derived from our program managers bottom up saying we are going to win these programs on these dates and we are going to need this many people to do the work. So, it's built up from the grass roots, it's factored of course based on our probability of win. But we are quite confident in the numbers that we are planning to add to the work force in the year. With that let's go to the next question.
Operator: We go next to Mark Jordan with A.G. Edward.
Mark Jordan - A.G. Edwards & Sons, Inc: Good morning gentlemen. I would like to just follow-up on that margin question and ask specifically, why you into some degree are in a period of transition. If you were to look out on a longer term basis into FY '09, '10, given the mix of business where the newer type business you are going after the larger contract, etc., is CACI a company that should have a longer term operating margin structure in the middle 7% range versus the historically you were in the... above 8?
Paul M. Cofoni - Chief Executive Officer and President: I think that's about right. I think our compare... our evaluation is that focus will always be working to improve our margins, where we have got a number of things ongoing. But the reality of being operating in a market with bigger contracts, with more teammates is that our margin would be more likely you said in the... Tom do want add anything to that or it just --
Thomas A. Mutryn - Executive Vice President, Chief Financial Officer and Corporate Treasurer: Yes, I guess Paul on... the focus primarily as Paul mentioned is growing earnings per share, top line and bottom-line growth, and while sometimes we... you guys kind of bemoan ODCs, other direct costs, the reality is they contribute positive cash flow, positive earnings per share. And so we are simultaneously embracing this work to meet the needs of our customers which also meet the needs of our investors.
Mark Jordan - A.G. Edwards & Sons, Inc: Could you also go back and revisit the... your feelings relative to share buybacks. I mean what's... the stock has been treading water here clearly below. I think the value of some of the companies that have you bought given the outlook over the next 6 months for, negative comps. Would it not make sense to redirect some of the free cash flow generated by this Company which is obviously very high towards buybacks, buying the best value in the marketplace?
Thomas A. Mutryn - Executive Vice President, Chief Financial Officer and Corporate Treasurer: I will answer this question. Again it's Tom Mutryn speaking. We continue to look at that in a particular issue and we feel that all-in-all however the best use of our cash is to continue on the path of being a strategic consolidator. We were successful with the two acquisitions. Recently we had a healthy pipeline which we deliver... which we believe will deliver long-term value to our shareholders and we wanted to use our cash to pursue our corporate development and acquisition strategies. We did repurchase as you know 1 million shares for $45 million in the... in short amount of... here within the last few months. But we are looking at transactions which are accretive to our kind of earnings per share which provides value.
Paul M. Cofoni - Chief Executive Officer and President: Okay. Thanks Mark. Can we have the next question please, operator?
Operator: We'll go next to Bill Loomis with Stifel Nicolaus.
William Loomis - Stifel Nicolaus & Company: Hi thanks. Can we talk about some of the large IDIQs, you've one like ITES-2S and First, how are you seeing the task order flow under those in the RFPs out there, and then second on the ODCs have been running high in recent quarters. Is that largely due to task coming out of the S3 wins you have had or is there another contract vehicle that causing more ODCs than normal?
William M. Fairl - President, U.S. Operations: Okay. Bill, it's Bill Fairl and I'll take that. So the first question is about activity on some of our IDIQs. We've begun to see the task flow on both the ITES-2S and the... to a lesser extent on Army First. On ITES-2S we've got... we've had some successes on that, we bid a few and won a few and so we are pleased with our track record out of the gate on that one. Army First, we really are in the early stages of that one so I don't have a lot to report on task order activity on that one. In fact I am told that First only has four task orders out so far and only two of those have been awarded. So both to incumbents, so the activity has been kind a low on that one. We are looking forward to pick up and we'll be very interested and active on that test quarter contract rather. Let's see, the second part of question I believe was a little color --
Paul M. Cofoni - Chief Executive Officer and President: I think, he was asking was there much of ODC coming?
William M. Fairl - President, U.S. Operations: Well, where was it coming from? And yeah you put your finger on one of the big contributors to that Bill and that is it has three and the other one is our Etos contract that you are probably acquainted with as well. And those are basically for the same general customer set and it splits about two-thirds subcontractor work and about one-third of CACI material purchases and it has to be with single intelligence equipment, receivers, antennas, what have you and work associated with systems like that. That's the biggest aspect of it.
Thomas A. Mutryn - Executive Vice President, Chief Financial Officer and Corporate Treasurer: And that has been a driver in the ODC, S3 and Etos combined have been let's say the lead factor in the ODCs that we saw come through in the fourth quarter.
Paul M. Cofoni - Chief Executive Officer and President: Bill did they get it for you, do you have a follow-up? Bill? Operator?
Operator: We will go next to Cai von Rumohr with Cowen and Company.
Cai von Rumohr - Cowen and Company: Yes. Thank you. Just some follow-ups. Looks like almost all of your revenue growth over the third quarter was ODCs and your incremental margins looked like they held at 7.4. So, I mean does that mean that things maybe on the margin front are bottoming out and could you comment on where you see ODCs as a percent of COGS in fiscal '08?
Thomas A. Mutryn - Executive Vice President, Chief Financial Officer and Corporate Treasurer: Well in terms of margin trend, we've guided our fiscal year '08 margins to be between 7% and 7.4%. That is where we see margins today in fiscal year '08 which is down a bit from fiscal year '07. So, we are expecting to see a slight decline in fiscal year '08 for the business we articulate. The trend that we have seen which is increasing ODC as a percentage of direct cost will continue for the reason that Paul and Bill articulated as we did larger consolidating contacts, we expect to have the team members play an increasingly important role. I am not prepared to give you exact percentage at this point in time but clearly that is the trend.
Cai von Rumohr - Cowen and Company: Well, if it improves... if it increases, it was like 41% in the final quarter but it looks like 44% for the year. Do you expect it to stay at that 41% or I mean that would seem to be a bit extreme?
Thomas A. Mutryn - Executive Vice President, Chief Financial Officer and Corporate Treasurer: The numbers as you can imagine do fluctuate quarter by quarter, depending upon the needs of our government customers, specific task orders. As I said we expect the ODC content to increase in fiscal year '08. I would not take the fourth quarter and reset the base based on one quarters worth of data.
Cai von Rumohr - Cowen and Company: Okay, great. Thank you.
Paul M. Cofoni - Chief Executive Officer and President: Okay.
Operator: And we will go next to Jason Kupferberg with UBS.
Paul M. Cofoni - Chief Executive Officer and President: Good morning Jason.
Jason Kupferberg - UBS: Hey good morning guys... good morning. On funded backlog obviously you had some really strong growth there exiting fiscal '07 and if we look at that kind of backlog as a percentage of your fiscal '08 revenue guidance just taking the midpoint, for example, it looks like that ratio is about 59%. If I go back and check a similar calculation over the past few years that number has been more like 48% or 49%, if my numbers are right. The numbers we think would suggest that the funded backlog is a proxy for visibility, you guys would have better visibility this year versus the past few years, is that an accurate way to look at it?
Paul M. Cofoni - Chief Executive Officer and President: Bill, do you want to take that?
William M. Fairl - President, U.S. Operations: I will take the first shot at it and first of all you are correct, I believe in your analysis. I... we have been observing now for the past 6 months that our funded back log is really at recent historic highs when you kind of convert it to a number of months that you have in the cupboard if you will. And your calculations there are pretty much with ours... we are looking at 7, 7.5 months of trailing 12 months revenue kind of in the cupboard there for us. So that is... that's high compared to what we normally experience in... at CACI and in our industry. And so the question has been is when would that start converting into top and bottom line and we have of course begun to see that in our forth quarter and the question is what next and we are on that observing it, we are very early really into fiscal year '08... we really have one month under our belt if you will maybe 6 weeks. And so it's kind of early to kind of draw any trends from that right now. But we are... we are on that and the whole team Paul's got us all focused on that.
Paul M. Cofoni - Chief Executive Officer and President: And Tom do you want to add anything to that?
Thomas A. Mutryn - Executive Vice President, Chief Financial Officer and Corporate Treasurer: I will reinforce what Bill said. We have stated out in previous calls that our contract awards... our funding orders and our backlog was increasing and we were not seeing a commensurate increase in our revenue. We were building up this pent-up demand. This quarter in the fourth quarter we softened that backlog translating into revenue and the question that we have going forward is how quickly will that backlog translate into revenue and as Bill said we are watching this very carefully.
William M. Fairl - President, U.S. Operations: But then the other thing, of course, it's in the mix here, is what's going to happen with the fiscal year '08 budget appropriations process and there's... certainly I think it's fair to say there's... could be similar contentious discussions going on there and so we are going to have to wait and see how that plays itself out as well. So this first quarter of '08 for us is an important quarter for us to do a lot of watching and analysis of all the things we have just talked about. And we are going be prepared as we go through the quarter when we deliver our results for the first quarter to give you some update. By that time we will have a better... some of the uncertainties of... around the government budget process will be clearer, I think, and also we'll have multiple months in '08 to look at regarding the ODC levels and is the conversion rate of the backlog holding up or was that a momentary kind of thing that occurred in the fourth quarter of '07. But we will keep you posted.
Jason Kupferberg - UBS: Okay. And just to sum up that commentary, it sounds like what you are saying you are encouraged by what you have seen so far in the leading indicators that there is no reason this early in the fiscal year to get ahead of yourself and that's what [multiple speakers].
Paul M. Cofoni - Chief Executive Officer and President: That's right. We've got a lot of staff to add through the year. We have a budget process that's going to be contentious. We are encouraged by the conversion of the vast... conversion of taxes for the backlog. But that's one indicator and there's multiple working parts here that we have to factor, so --
Jason Kupferberg - UBS: Okay. And just so --
Paul M. Cofoni - Chief Executive Officer and President: We will keep you posted. As soon as we get clear visibility of that through our analysis, we will update you all.
Jason Kupferberg - UBS: Okay. And just a follow-up on the quarter. I know you have called out on the $35 million of extra ODCs. So if I back that out, you would have been I believe above the high-end of your revenue guidance range for the June quarter if I am not mistaken. Can you also comment on where operating margins might have been without the excess ODCs in the quarter?
Thomas A. Mutryn - Executive Vice President, Chief Financial Officer and Corporate Treasurer: I don't have that statistic off hand but clearly in the absence of ODCs, operating margin would have been higher but our earnings per share would have been lower. We can talk separately with regards to the specific analysis but I certainly haven't done that yet.
Operator: And we'll go next to Michael Lewis with BB&T Capital Markets.
Paul M. Cofoni - Chief Executive Officer and President: Good morning Michael.
Michael Lewis - BB&T Capital Markets: Good morning. Thanks for taking my call. I am going to try to tie in ODCs, M&A and margin in one question. So, on the M&A front, would part of the strategy be to improve or isolate the margin to improve it to be going out there and identifying some of the higher end subs that you work with and trying to bring them into the fold which will essentially convert some of these ODCs to more direct labor content. Can you talk a little bit about that if that's part of the strategy?
Paul M. Cofoni - Chief Executive Officer and President: Yeah Michael, let me take a shot at that for you. First of all we are reluctant to buy our sub so to speak because we already have that revenue in our... so it wouldn't support our growth objectives. It would add to our profitability of course because the margin would then be organic margin versus ODC margin. Rather our strategy in M&A is to go look at the areas where we are focused, where the nation's priorities are the highest and right now the nation's priority is the war on terror. It's a threat that's going to be with us for decades to come. It's global, it's pervasive and persistent. And that is the nation's number one challenge. And so we are intently focused there. We are uniquely positioned with a strong intelligence component of our business and now a company like Wexford adds this operational training and consulting aspect as well and our plan is to continue to look at the nation's number one problem, one in two problems and go look for companies that are well positioned with high growth rates as Wexford and IQM. Both were high growth rate, good margin business, and to bring them on board and to build a competency center here that would be substantial and it's helping our clients to fight the global war on terrorism which is the nation's highest priority.
Michael Lewis - BB&T Capital Markets: Okay, that's fair. Just a quick follow-up on that. If we were to... again if we look out into FY '09, we are not in the days that prior years where you'd see 50 or 100 basis point year-over-year improvement EBIT, but should we be able to expect 20 to 30 basis points, because I want to reflect back on a question that someone else asked and it sounded like you had guided to somewhere in the 7% range. I just want you to clarify that for us?
Paul M. Cofoni - Chief Executive Officer and President: Let me say as we go after larger, more complex jobs to support the clients needs and to support our growth rate... organic growth rate requirements, we by necessity are going to have a substantial ODC content in the work we do. That's the characteristic of those large jobs where you have a leader, system integrator. Our clients are asking us to take that leadership role, to lead teams of contractors to go after big problems, consolidating databases that are scattered and disparate, attacking complex technical problems that require large resources and unique resources from various parts of the industry and we're happy to take on leadership role. It supports our growth objectives, it support our clients needs. But the derivative of all that is that the ODC content's higher because you are using partners with rich capabilities to solve these complex problem sets. So, that's where we are going, that's our future. As we move toward $5 billion we are going to have many teammates working on this on large programs, and that's not a bad thing. That's a good thing, that's our planned future because those jobs give us large contracts which support the organic growth rate we need. Now, having said that we are going to continue to work internally on jobs that have the opportunity to provide us with a higher labor content where we see those... we are going to prioritize... we are prioritizing those. We are also really focused on cost control here, we've always had a lean overhead structure, we are going to keep that lean and as we acquire companies we are going to take out excess costs so that we can have accretion in the acquisitions and all of that will lead to growing earnings, managing margins but growing earnings. That's our objective, growing earnings, so we can grow earnings per share.
Operator: We will go next to Ferat Ongoren with Citigroup.
Ferat Ongoren - Citigroup Global Markets: Good morning.
Paul M. Cofoni - Chief Executive Officer and President: Good morning Ferat.
Ferat Ongoren - Citigroup Global Markets: One question I have is on the margins. And the comment you made in the strategy to move to tier-1, I am looking at your immediate competitors, they are moving towards an 8% margin and CACI is moving towards mid 7%, and you mentioned tier-1, I don't know who are you talking about, but if you kind of look at the primes, I am not sure... unlikely you would have said that but IT services business software [ph] guys roping 9% to 10% margin.
Paul M. Cofoni - Chief Executive Officer and President: No, no, no. If you will look at the IT services components of our prime... of those prime platform companies you will find that their margins are not at that level.
Ferat Ongoren - Citigroup Global Markets: I mean... can you just provide that information that it's around 9% to 10%. Now you could argue --
Paul M. Cofoni - Chief Executive Officer and President: That's not the data we have Ferat, but we can compare notes with you later offline.
Ferat Ongoren - Citigroup Global Markets: That's fine. I mean we can just focus on your immediate competitors, SRA or ManTech. My point is this, I mean, some of these larger companies have also have greater complex programs and they also use subcontractors. Is it fair to assume that some of the partners that you are going to work with for some of these bigger projects are going to do the higher end work?
Paul M. Cofoni - Chief Executive Officer and President: No. There... it's fair to assume that some of those subcon teammates we will bring on board, will have specialty areas that they do extremely well and we will... we select them because of that. But not that they would do the higher value work. In fact the higher value work is the system integration work, and the leadership work, and the program management work.
Operator: We'll go next to Tim Quillin with Stephens Incorporated.
Timothy Quillin - Stephens, Inc.: Good morning.
Paul M. Cofoni - Chief Executive Officer and President: Good morning.
Timothy Quillin - Stephens, Inc.: In terms of your margin progression, I mean how should we think about this over the course of FY08 to 6% to 8%, it's a pretty wide range. Is it... should we think about leverage on your indirect costs, is the primary driver of sequential margin improvement throughout the year or is there anything happening on the gross margin side that would drive margin improvement towards the back half?
Thomas A. Mutryn - Executive Vice President, Chief Financial Officer and Corporate Treasurer: This is Tom. I am taking the lead to answer this question. We expect for the full year of fiscal year '08 to realize operating margins between 7% and 7.4%. We mentioned that we expect lower margins in the first half of the year than higher margins than the second half of the year. And the major driver of that increase in margin as we go to the year is the increase in the number of CACI billable employees. We have a large number of open requisitions right now, we are actually filling those positions and as we fill those positions that will help our gross margin statistics and that will drive that improvement [ph] during the year.
Timothy Quillin - Stephens, Inc.: Okay. So I guess to restate that year you would expect at least what's in your guidance that the ODCs would trend down as a percent of your labor or your direct cost over the course of the year?
Thomas A. Mutryn - Executive Vice President, Chief Financial Officer and Corporate Treasurer: I would... first half versus back half of the year, that's a fair assessment, yes.
Timothy Quillin - Stephens, Inc.: Okay. And then just my only other question is regards to business mix and I agree with what your saying in terms of margin expectations, as you move forward with your current business mix, is there any thought process and I think one of your competitors was considering just change in business mix maybe it moved towards more of a product business model that would allow you to move up with the margin chain and add some proprietary technology to your solutions. I guess as you are doing with the most recently UK acquisition? Thanks.
Paul M. Cofoni - Chief Executive Officer and President: Thank you for the question and we in fact do have today in our business product components. They tend to be things that give us differentiation and therefore give us a competitive advantage. And so we... as we look at acquisition candidates, we do look for, is there some proprietary technology that would represent a barrier or an improvement in our competitive position, therefore ours. So, yes we are always looking for that. We are predominantly a services Company, we are not going to become a product company. But we look for technology in those services that is proprietary, methodology, technology, domain knowledge; these are the things that provide an advantage to our clients and therefore we'll continue to look for those.
Operator: We go next to Greg Wowkun with Banc of America Securities.
Gregory Wowkun - Banc of America Securities: Good morning gentleman. DSOs trended lower to about 66 days in the quarter. Can you comment on how we should expect that to trend going forward?
Thomas A. Mutryn - Executive Vice President, Chief Financial Officer and Corporate Treasurer: I yes... we are very, proud of the significant improvement we made in our DSOs during fiscal year '07 and particularly in the fourth quarter. Going forward, I would expect DSO to maintain those particular levels; in fact I would be happy to maintain those particular levels. While we believe in continuous improvement, I think a reasonable expectation is to assume that they will stay at those levels.
Gregory Wowkun - Banc of America Securities: And as a follow-up, can you please also speak to the pricing you're seeing on your re-completes?
Paul M. Cofoni - Chief Executive Officer and President: Bill you want to address that?
William M. Fairl - President, U.S. Operations: Sure. It... I think it varies by customers you might say, as you might expect rather. And Paul talked about with the priorities of funding right now to the warfighters that there aren't that many Greenfield type opportunities and the nature of re-compete work is that in many cases... not all cases, but in many cases as you go through a number of cycles of re-competes you have to find ways to become more-and-more efficient and that can happen in a number of ways. As you know, we announced we won our Mega 3 re-compete and there what we did is we started basically a couple of years in advance and develop some new technology kind of going back to Paul's point about distinction and proprietary things that offered our customer a way to be more cost effective and get more done with sort of the same amount of CACI labor using our tool, if you will. So, that new tool is being used under most recent past quarters.
Paul M. Cofoni - Chief Executive Officer and President: Yes, yes.
William M. Fairl - President, U.S. Operations: So we are... lot of traction with that tool. It was a good investment on our part. That's one of the kind of competitive things that we used to win our re-competes more so than pure price... pricing considerations. We want to win on a best value basis and want to continually kind of offer them more value if you will with the CACI offering and we're generally pretty successful with that. I would say that we know we talked a bit about the two re-competes that we lost at fiscal year '07; didn't lose those on the basis of price.
Operator: And we will go to our next Jeff Houston with William Blair.
Jeff Houston - William Blair: Hi guys. Jeff Houston for Laura Lederman. A quick question. I want to see if there is any significant re-competes that are coming up in the next 12 months and maybe if you could speak to their dollar value?
William M. Fairl - President, U.S. Operations: Well, Jeff this is Bill Fairl again, what I can say is that unlike some previous years that generally speaking our fiscal year '08 is characterized by a larger number of relatively smaller re-compete. We have approximately 70 re-competes coming up in fiscal year '08 where the dollar value is roughly $2 million a year run-rate or higher. So we don't have... we don't have the mega kind of a re-compete coming up this year that we had in the years past. But we have a lot of work to do because we have all these individual re-competes to... to bid and win and we're believing the team is focused on that.
Jeff Houston - William Blair: Okay. And then separately, we had a question about your opinion of the dispense in several continuing resolution, I think you mentioned in your commentary that you expect there to be one but wanted to kind of get a feel for how drawn out you expect that to be?
Unidentified Company Representative: I'm sorry I missed the... could you repeat the question because I sort of... I missed the end [multiple speakers].
William M. Fairl - President, U.S. Operations: Coming up to a [ph] continued resolution process.
Paul M. Cofoni - Chief Executive Officer and President: Dave, do you want to go ahead and --
David Dragics - Senior Vice President, Investor Relations: Yeah this is Dave Dragics, Jeff. I guess we can answer that question better at the end of October when we do our first quarter release. No one can tell how long the continue resolution process is going to go. That's a function of a lot of things that we can't control. It's... our view of it is it's business as usual because almost fiscal year started with continued resolutions. But it will extend into the October/November timeframe at least and... but beyond that I don't have any better visibility than anybody else in this town.
Operator: We will go next to Mark Jordan with A.G. Edwards.
Mark Jordan - A.G. Edwards & Sons, Inc: Good morning again. Could you detail what the stock comp and option expense was for fiscal '07, what it should be in '08 and how... and what percent of that expense for '08 should hit in the first quarter?
Thomas A. Mutryn - Executive Vice President, Chief Financial Officer and Corporate Treasurer: Okay. For fiscal year '07 stock comp, this is both 123R option expense and restricted stock expense, was around $13 million pre-tax and for fiscal year '08 we expect it to be approximately $18.4 million. For the fourth quarter of fiscal year '07 the number was $3.1 million in total.
Mark Jordan - A.G. Edwards & Sons, Inc: And what would you expect for the first quarter because historically that's been very heavy, what percent of that $18.4 million might hit in the first quarter?
Thomas A. Mutryn - Executive Vice President, Chief Financial Officer and Corporate Treasurer: Approximately one-third, $6 million.
Operator: We will go next to Cai won Rumohr with Cowen and Company.
Cai von Rumohr - Cowen and Company: Yes, a quick follow-up on the re-competes. Could you tell us what percent of your current revenue run rate are the re-competes you will face in '08 approximately?
Paul M. Cofoni - Chief Executive Officer and President: Sure it's around 20% give or take a little bit. So, if you think of your contracts having four and five year --
Cai von Rumohr - Cowen and Company: Okay. So, it's a normal five year --
Paul M. Cofoni - Chief Executive Officer and President: Sort of... it's just a tad light but think of it as a normal year.
Cai von Rumohr - Cowen and Company: Okay. Then the other question is kind of your vision for the future and kind of more subcontract labor. Do you assume that you are going to continue to build your direct labor because if so and you are increasing your sub-contract labor that would assume accelerating organic growth and given your new business model, where do you see organic growth going. I mean does it go back to 12% to 15% or are we talking 6% to 8%, how does it look?
Paul M. Cofoni - Chief Executive Officer and President: I think we are only guiding for fiscal '08 and what we have shown in the fiscal '08 period is sort of the mid to upper single digit type of range and that's what we can see right now. It would be speculative to try to portray a percent beyond that period and I would be reluctant to do that. But in terms of adding your earlier part of your question was around our headcount, we have a bold plan this year for adding headcount. We had strong requirements, their grass root level requirements based on the needs of the clients. Dave... as Bill has pointed out; we have a very rich recruiting program and strong initiatives around retention. So, we expect we will add significantly to the headcount. We have already reasonable well in the first month of the year to the headcount. And so we expect to have a strong addition to the headcount in fiscal '08. That's built into our plant. And we will... as I said earlier, we will continue to go after the most complex problems and they generally require teammates to help us address those with unique specialties in niche area and so our sub-contract or content will continue to be around what it's been.
Cai von Rumohr - Cowen and Company: Okay. Thank you.
Operator: And we have no further questions at this time.
Paul M. Cofoni - Chief Executive Officer and President: Well I want to thank you Melissa for your help today and especially thank all of the callers and... for your very good questions. We appreciate this opportunity to share progress of our Company and the prospects going forward and our team will be available for those of you have... who might have ancillary questions to answer them after the call. So, thank you for coming on board with us this morning. That concludes our fourth quarter and fiscal '07 yearend conference call, and have a good day.